Erik Engstrom: [Audio Gap] today. As you may have seen from our press release this morning, we delivered strong financial results in the first half, and we made further operational and strategic progress. Underlying revenue growth was 7%. Underlying adjusted operating profit growth was 10%. Adjusted earnings per share growth was 10% at constant currency, and we have announced a 7% increase in the pound sterling interim dividend. All four business areas continue to perform well. And on this chart, you can also see the relative sizes of the segments within each business area. In Risk, underlying revenue growth was 8% and underlying adjusted operating profit growth was 9%. Strong growth continues to be driven across segments by our deeply embedded AI-enabled analytics and decision tools, with 90% of divisional revenues now coming from machine to machine interactions. In Business Services, which represents around 45% of divisional revenue, growth continued to be driven by Financial Crime Compliance and digital Fraud & Identity solutions, with new sales strengthening further. In Insurance, which represents just under 40% of divisional revenue, growth was driven by further expansion of solution sets across markets, continued positive market factors and new sales. In Specialized Industry Data Services, which represents just over 10% of divisional revenue, growth was led by Commodity Intelligence and Aviation. Going forward, we expect continued strong underlying revenue growth, with underlying adjusted operating profit growth slightly exceeding underlying revenue growth. In STM, underlying revenue growth was 4%. Development of analytics continue to drive the ongoing shift in business mix towards higher growth segments. This business mix shift accelerated in the first half. A further improvement in the electronic revenue growth rate was offset by the remaining Print revenue shrinking roughly twice as fast as usual. In Databases, Tools & Electronic Reference and Corporate Primary Research, which together represents around 45% of divisional revenue, growth was driven by further development and rollout of higher value add analytics and decision tools. Primary Research, Academic & Government segments, which also represents around 45% of divisional revenue, continue to be driven by volume growth. The number of articles submitted grew very strongly by over 20% across the portfolio so far this year and the number of articles published grew by 15%. Going forward, we expect continued good underlying revenue growth, with underlying adjusted operating profit growth slightly exceeding underlying revenue growth. In Legal, underlying revenue growth improved further to 7%, up from 6% last year, driven by the continued shift in business mix towards higher-value legal analytics. Underlying adjusted operating profit growth was ahead of underlying revenue growth at 9%, as we continue to manage cost growth below revenue growth. In Law Firms & Corporate markets, which account for over 60% of divisional revenue, Lexis+, our integrated analytics offering, leveraging extractive AI, continues to perform well. The rollout of Lexis+ AI, our new platform leveraging generative AI, is making good progress. During the first half, we've continued to update and extend this functionality in the U.S. and launched in international markets. Going forward, we expect continued strong underlying revenue growth, with underlying adjusted operating profit growth exceeding underlying revenue growth. Exhibitions delivered underlying revenue growth of 16%, reflecting the improved growth profile of our event portfolio and the favorable comparison with the early part of the prior year. We have continued to make good progress with our growing range of value-enhancing digital tools and the improvement in profitability reflects the structurally lower cost base. Going forward, we expect strong underlying revenue growth with an improvement in adjusted operating margin over the prior full year. Our strategic direction is unchanged. Our improving long-term growth trajectory continues to be driven by the ongoing shift in business mix towards higher-growth analytics and decision tools that deliver enhanced value to our customers. We develop and deploy these tools across the company by leveraging deep customer understanding to combine leading content and data sets with powerful artificial intelligence and other technologies. This has been a key driver of the evolution of our business for well over a decade, and will remain a key driver of customer value and growth in our business for many years to come. Our growth objectives are: for Risk, to sustain strong long-term growth in current range; for both STM and Legal, to continue on the improving growth trajectory; and for Exhibitions, to continue on the improved long-term growth profile. When combined with our strategy of driving continuous process innovation to manage cost growth below revenue growth, the result is continued strong earnings growth with improving returns. I will now hand over to Nick Luff, our CFO, who will talk you through our results in more detail. I will be back afterwards for a quick wrap-up and Q&A.
Nicholas Luff: Thank you, Erik. Good morning, everyone. Let me start by providing more detail on the group financials. As Erik said, underlying revenue growth was 7%, with underlying adjusted operating profit growth ahead of that at 10%. As a result, the adjusted operating margin improved by just over 1 percentage point to 34.1%. The improved operating result flowed through to adjusted earnings per share, which at constant currency, also increased by 10%. Cash conversion was again strong at 95%, and leverage was 2.0x, unchanged from the year-end. Given the strong overall performance, we have been able to increase the interim dividend by 7% to 18.2p per share. We spent GBP 61 million on two acquisitions in the first half, and we deployed GBP 700 million out of the planned GBP 1 billion for the share buyback this year. Looking at revenue, you can see here the drivers of the overall 7% underlying growth, continued strong growth in Risk, sustained growth in STM, another pickup in growth in Legal and strong growth in Exhibitions. Electronic revenue, representing 84% of the group total, saw 7% underlying growth, with a strong growth in face-to-face activity offsetting the higher-than-usual Print decline. Total revenue growth at constant currencies for the group was also 7% after some portfolio effects in Risk, STM and Legal, and after cycling and timing as well as portfolio effects in Exhibitions. In sterling, total revenue growth was 3%, impacted by the comparative strength of sterling relative to H1 last year. Here, you can see the 10% underlying growth in group adjusted operating profit. We continue to manage cost to keep cost growth below revenue growth in each business area. As a result, Risk, STM and Legal each delivered underlying growth in AOP ahead of underlying revenue growth. Exhibitions underlying AOP growth was more than double its revenue growth. Overall, portfolio effects were net neutral, leaving total AOP growth in constant currency, also at 10%. There was a similar currency effect on profit as there was on revenue, giving AOP growth in sterling of 7%. With profit growth ahead of revenue growth, margins improved across the board, driving the overall improvement of 1.1% to 34.1%. Margins were up by 30 and 40 basis points, respectively, in STM and Legal, and up by 60 basis points in Risk, where there was some additional help from portfolio changes. Exhibitions margin is now well ahead of the levels from 2018 and 2019, was at 37.1% for this period, reflecting the normal historical bias to higher margins in the first half of the year. Turning to the group adjusted income statement, you can see the underlying growth of 7% in revenue and 10% in operating profit. The interest expense was largely unchanged, with higher average debt offset by a fractionally lower effective interest rate. Profit before tax up 11% at constant currency and up 7% in sterling. The effective tax rate in the first half was 23%, up from the prior year, which had the benefit of some nonrecurring tax credits. Net profit was up 8% at constant currency and up 4% in sterling to just over GBP 1.1 billion. With the lower share count as a result of the share buyback program, adjusted earnings per share were up 10% at constant currency and up 6% in sterling to 59.5p. Turning to cash flow. Cash conversion was 95%, in line with the same period last year. EBITDA was over GBP 1.8 billion, and CapEx was GBP 233 million, equating to 5% of revenue. After interest and tax, total free cash flow for the first half was just over GBP 1 billion. And here's how we deployed that free cash flow. In the first half, we completed two small acquisitions for a total consideration of GBP 61 million, with three small disposals for a similar aggregate amount. Last week, meaning it was in the second half, of course, we completed the acquisition of Henchman. Henchman is a legal technology business which will give us a leading capability to integrate our generative AI solutions with law firms' internal document management systems. Dividend payments in the first half were GBP 782 million being last year's final dividend. As I said earlier, we completed GBP 700 million of the 2024 share buyback program in the first half. We have deployed a further GBP 50 million on the buyback already in July with at least GBP 250 million of the program to be completed in the remainder of the year. Net debt at 30th of June 2024 was just under GBP 7 billion. Including pensions, the ratio of net debt to EBITDA calculated in U.S. dollars, was 2.0x, the same as last year-end, and down from 2.2x 12 months before. With that, I will hand you back to Erik.
Erik Engstrom: Thank you, Nick. Just to summarize what we have covered this morning. In the first half of 2024, we delivered strong financial results and we made further operational and strategic progress. The improving long-term growth trajectory continues to be driven by the ongoing shift in our business mix towards higher growth, higher value analytics and decision tools. Going forward, we continue to see positive momentum across the group, and we expect another year of strong underlying revenue growth in revenue and adjusted operating profit as well as strong growth in adjusted earnings per share on a constant currency basis. And with that, I think we're ready to go to questions.
Operator: [Operator Instructions] Your first question comes from George Webb with Morgan Stanley.
George Webb: I'd like to kick off with a few questions, please. Firstly, no surprise there continues to be a lot of investor focus on the Legal segment. So around the pace of rollouts of Lexis+ AI, can you give any sense on the kind of proportion of customers that have taken it up so far maybe in the U.S. market? Or maybe ensure -- you may well be tracking this. But if you're at 7% underlying now, do you feel this gives you a platform to actually potentially accelerate further as the rollout continues through this year and next? Secondly, and a little bit tied to that question, can you help fill in what you think is happening with legal firms' budgets around tech? Are these AI tools in any way cannibalizing the budget allocation that might have gone into areas like legal analytics? Or are their tech wallets just expanding in more of a step-change way? And then lastly, on the STM business, you talked about strong growth on the article side and on the commission side. Given some of the construction we've seen at the pure open access publishers over the past year or 2, and I'm curious as to whether you think that's pushing some of the submission share in your direction.
Erik Engstrom: Okay. Let me cover those in order here. On Lexis+ AI, as you know, we started to launch this commercially late last year and it is starting to have a bit of an impact during this year. But as you know, the main driver of the improvement in the growth rate in Legal over the last few years has been the rollout of Lexis+ leveraging extractive AI as that has been the integrated platform that integrates the leading analytics, that has enhanced the value to customers. They use those tools more, they see more value, they buy more of them and their total spend has gone up. And that increased penetration of Lexis+ has been the main driver. In the last 9 months now, that has also been now supported by the rollout of Lexis+ AI. And we have now gradually gotten to a point where, on new sales, the majority of our new sales revenue is coming from Lexis+ AI sales. And we've also gotten to a point where our renewal revenues, in our renewal revenues, the majority of renewal revenue is now also coming from Lexis+ AI sales. On the legal firm budget, I think this is a very important evolution for the legal industry and for law firms. And I think many of them are looking at how they're going to grapple with the technology evolution, what tools are available and how they can improve the value they get from the tools. It's too early for us to reach any conclusion about how they will behave going forward. But we get a lot of attention on our new tools. We have a lot of conversation and is clear that this is something that is important to them, not just to us. On the STM article side, you asked specifically about what I think the industry research integrity issues that came up during last year, during 2023, this got more attention than it had for a while. And in particular, some of the companies that are primarily focused on the pay-to-publish model instead of the pay-to-read model. This is an issue for the whole industry, and it's an issue for us, and it's one that we're working on. We're working on trying to tackle both by ourselves and with others. But it has been a much smaller issue for us than for many of the other players that you mentioned. And I think the reason for that is, of course, that we've been in this business for a very long time. We have a very high-quality portfolio of journal brands. We have a rigorous review process to identify fraudulent articles, and have a lot of manual as well as technology tools to check that. I mean no process is perfect, but we have had a smaller exposure to this than many others. And therefore, I'm not actually surprised that we have probably seen a higher increase in article submissions to us than perhaps the others have seen over the last 6 to 12 months.
Operator: Your next question comes from [ Samik Majumdar ] with UBS.
Adam Berlin: Sorry, it's Adam Berlin from UBS. Can you hear me okay?
Nicholas Luff: Yes, we can hear you fine. Go ahead.
Adam Berlin: Okay. Yes, a couple of questions. In STM, you talked about the Print impact being twice as fast as usual. Do you expect that to continue in the second half? And if that were to normalize in the second half, could we see an acceleration in STM organic growth given that you said there was an acceleration in the other parts of the electronic revenues within that business? That's the first question. Second question is, can you give us some indication about the tax rate for the full year? I know it's 23% in the first half. Is that what we should be thinking about for the full year? Is there any reason the second half would be different? And then maybe on the Risk side, can you just give us a bit more detail on what were kind of the better-performing and worst-performing businesses within Risk? You've talked about Risk being in the 7% to 9% range. Is there any particular reason that we're at the top of that range, given kind of very positive KPIs we're seeing in the market overall?
Erik Engstrom: I'm going to ask Nick to answer the second, but let me start with the first one. STM Print, we typically have seen Print declines over the last few years that average in the mid- to high single digits for the Print portion and Print is now -- well, last year, the print's base was 10% roughly of the division. Of course, it's shrinking every year. But typically, the decline has been in the mid- to high single digits. So far this year, we're running at basically double that rate, and it's in several different pockets of Print. Overall, we believe this is a good thing. This is the business mix shift we're trying to drive. That's what we want. But when it's happening, of course, it increases the Print drag during that time period. Historically, it's relatively hard to predict, but we have not often seen complete reversals during a year. So I would say it's probably unlikely that you see a complete reversal within this year. But it's hard to predict exactly what happens in any one time period. But in the long run, medium to long run, we know what is happening. This will continue to decline and the Print portion will become a smaller and smaller part of this division, and therefore, the Print drag will reduce. But I think it's unlikely you see it this year.
Nicholas Luff: Adam, on the tax rate, the tax rate the 23% you see in the first half is a very good starting point for the full year. You can always get some noise, of course, some credits and debits and things, but that's a very good starting point if you think about the full year numbers.
Erik Engstrom: And then to the different segments of Risk. As you might recall, we had a period of time where -- we had a period of time during the pandemic when the Business Services segment was growing very, very rapidly for lots of different reasons. And the Insurance slowed a little bit based on people driving less and lack of availability of new cars and other things. Then we went through a period when the economy sort of reversed a little bit, as the services slowed down a little bit and insurance started to pick up, and Insurance, I think, grew very strongly last year. Now we're getting to a point where the new sales and business services have continued to strengthen and moving up. So Business Services are coming back up. And the Insurance has continued to run strongly, both in terms of our product rollouts and uptake as well as the marketplace. But there, we start to lap a very strong year. So that's going to gradually come down to historical averages again. So I think we're seeing exactly what you'd expect to see at this point in the cycle, and they're normalizing towards their averages at the point that we're seeing now.
Operator: Your next question comes from Sami Kassab with BNP Paribas.
Sami Kassab: In Exhibitions, H1 margins expanded by over 5 percentage points. Shall we think that full year margin can expand by as much? Secondly, historically in STM, the Print revenues were sensitive to timing factors of big orders coming in June rather than July, or July rather than June. Was part of the accelerated decline in STM Print driven by the timing of large orders moving from H1 into H2? And lastly, given average article turnaround times in the journal publishing business, is it fair to expect Primary Research revenue growth to accelerate in H2 given the acceleration in submission growth in H1?
Erik Engstrom: I'll ask Nick to cover the first one and then I'll take the next two.
Nicholas Luff: Yes. Sami, obviously, the margin improvement was very strong in Exhibitions in the first half. That reflects that strong underlying revenue growth that you saw of 16% which is partly helped by the favorable comparison with the early part of last year, which still had a bit of disruption in it. And obviously, that has flowed through to the very strong profit growth in the first half and therefore, the margin step-up. So as we say in the outlook, we are expecting an improvement in the margin for the year over last year's prior year. But obviously, you won't necessarily have that benefit of the comparison against the disruptive period.
Erik Engstrom: On the Print revenues, as this business has continued to evolve, the importance of the bigger orders in certain types of book segment has gradually been reducing as you probably know. And therefore, the relative timing of specific orders have become of a factor and it was not a material factor this year. So we have seen Print declines a little higher in most pockets this year, again, as we shift the business mix in the direction we would like to go strategically. So I don't think it's a material issue in terms of first half, second half Print declines this year. The STM article submissions, these started to pick up -- the submission rates started to pick up materially actually in the second half of last year when many of these research integrity issues start to have a real impact on the market. And the submission growth of over 20% has now almost been running for a year. So I think that already has started to have an impact coming through, and I don't see it picking up further in the second half and we started to lap that. But it's also important to remember that we have a mixture of payment models in these article submissions than what we publish. Some are under pay-to-read traditional publishing payment models, where the actual article volume doesn't have a direct impact on the revenue at that time. Some are paid to publish where it does have impact directly when you publish the article, but some of those are now also under a subscription model where you have agreed the payment model and the total amount for the year. So the impact is less on any one time period then the actual volume growth would indicate in that time period. But over time, the main driver of revenue growth in the Primary Research business, over time is the volume growth of number of articles submitted to us and published -- and that we publish. And the direction of travel here is very positive for us as a publisher and for us as our position in the market.
Operator: Your next question comes from Nick Dempsey with Barclays.
Nick Dempsey: I've got two questions left. First of all, just maybe to ask the article submissions question the other way around. If we're seeing historically high article volume submissions now, more than I remember ever in the past, and we aren't really seeing that much of a change in organic growth on the positive side, is there a risk that as that starts to normalize a little bit over 18 months to slightly lower levels, do we have to worry about that as a bit of a drag on future STM organic growth? Second question, for many, many years now, there's been almost no change in share, I think, between Lexis and Westlaw in legal in the U.S. Do you think that the AI products could change that, could break that pattern, could change the stickiness of the two with lawyers, and therefore, you have some potential options to gain share versus the much larger Westlaw?
Erik Engstrom: On STM and article submissions, in the long run, we have seen article submission growth to us in the high single digits on average now for the last couple of decades, probably. And if you look at industry trends, we would expect that we'll continue to see our growth on an annual basis in the high single digit for many years to come. In the last 12 months, we've seen a higher rate of increase to us based on, I think, many different factors, including the quality of our journals, the technology platform we have and the longer focus we have had on research integrity issues. Just like I said before, that the growth in article submissions does not have a material short-term impact on our revenue growth in this year, the normalization of that growth rate, if that is what we believe will happen or you believe will happen over the next few years, therefore, should not have a material impact in the other direction. In the long term, the main driver is the long-term average growth rate in the high single digits, which I still believe in. On Lexis versus our competitors in the U.S., as you know, we always say that we have respect for our competitors. There are competitors in our marketplaces that have been around for a very long time and have large positions. I am sure that they will come up with ways to serve their customers well. We remain focused 100% on improving our own value proposition to our customers. And we believe that if we can increase the value that our tools can provide, we can increase the number of our tools that our customers want to use, we can increase the usage of those tools if they see value in it, and therefore, they will spend more value with us. They spend more money and they'll see more -- spend more money with us and they see more value from us. How their spend evolves with others is not clear, but we are focused on our value equation.
Operator: Your next question comes from Tom Singlehurst with Citi.
Thomas Singlehurst: Yes, Tom here from Citi. I've got three, if that's okay. Slide 11, growth objectives, continue on improved growth trajectory. I'm just wondering whether you're explicitly signaling the growth can continue to improve from the 7% that you're doing, which is already obviously a material improvement on history. I can see why STM might continue tracking up, but it would be exciting to hear whether 7% can become 8% or 9% in your view? That's the first question. Second question, linked to that. I mean, for many years, legal was an area that was sort of plodding along, if I can put it that way, sort of low single-digit growth with relatively low margins versus peers. And I can see why in that context, the industry for legal and analytics may not have attracted a huge amount of investment capital. By contrast, with the growth of law tech and your very, very strong growth and improving margins, I wonder whether you are already seeing a sort of change in the competitive landscape with smaller start-ups and how ultimately you can sort of navigate that without necessarily losing share to similar players. And then the final question, which I presume is to Nick, is on Exhibitions. Obviously, an incredibly strong growth and margin performance. I suppose the question is, if we go back to sort of pre-COVID, I think the way I would characterize RELX was always as being willing to accept lower margins in return for better growth, you're more willing to invest. And I'm just interested whether, now that you've got a much, much higher margin and you've talked about taking structural costs out, we should -- once sort of recovery has calmed down, we should also expect lower revenue growth than trend. Or whether there is genuinely a new paradigm where sort of faster growth and higher margins are both possible.
Erik Engstrom: In Legal, our objective is to continue to improve the growth trajectory of this division. That's what I'd say. That's what we've said for a few years. That's what our division head would continue to say. However, we do have to remember that this is an 80% subscription business, and that the average contract subscription length is 3 years, which means that any improvement in the long-term growth rate is likely to come through very gradually. Now we have slightly outperformed that expectation, I would argue, for the last 2, 3 years in terms of moving up that growth rate a little faster than it would naturally imply in an 80% subscription business with average contract length of 3 years. But our objective is to continue to improve, but I think it's harder and harder to do it at this rate that we've done in the last 2 to 3 years where it keeps improving on almost an annual basis. But our objective is clear, we would like to continue to move it up a little bit more if we can. On Legal, investment in law tech or legal tech, this has been actually a relatively active investment area for many years. We have been very active in that area ourselves. We've spent a lot of time meeting with start-ups in legal analytics for over a decade. We have focused on organic build-out of higher value-add legal analytics tools, and we have made some small partnerships, licensing deals, and we bought a handful of small legal analytics companies that would benefit from being in partnership or owned by a large global platform like what we have under the LexisNexis umbrella. So that's something we have been working on for a long time. Now going forward, as you said, I think this area has gotten a lot more attention and people talk about it more given the improvement we've seen and given the sort of the deployment of generative AI. But I think the principle remains the same, that we're very actively involved in that start-up scene and talking to companies and where they're licensing content or comparing our tools. We remain focused on the absolute value add that we can give. And our strategy that we talk about all the time is to leverage our really deep, deep customer understanding inside of this marketplace by combining basically sort of unparalleled or if you want to call it that, content and data sets that we've had in the legal industry, and combining those with a powerful new technologies that come out, whether that's previous sort of extractive artificial intelligence or now generative artificial intelligence technologies. I believe we are positioned in a way that very few other players are because we have the combination of the three components, which is number one, deep customer understanding and deep pipes already installed with a very large number of customers; as well as the deep content that -- the broad content set; and we have the ability to spend the money and evolve our technology spend that's already very significant, to focus it on the new technologies and the value that's added by the new technologies. So has the competitive landscape changed over the last 10, 20 years? It has changed. Will it continue to change? Yes, it will continue to change. Do I believe that it will have a significant impact on our strategy? No, because we believe that this is what we have been trying to do now with our focus on AI-supported legal analytics for over a decade, and we're now using a slightly different tool kit that includes generative AI tools. On Exhibitions, we are now 100% focused on the growth opportunity and the value uplift we can get from running this business differently, and in particular, introduction of data-driven digital tools. And it's becoming clear to us that this business is on track to become a higher value-add, higher growth and higher margin business than it was before the pandemic. And we do not believe that there is necessarily a trade-off between us having now a higher margin, lower growth business. But rather, we believe that we can be higher value-add based on these new digital tools and faster pace of innovation in the business, and that we can be higher growth based on our ability to commercialize our high value add and higher margin based on the structurally lower cost base.
Thomas Singlehurst: That's great to hear. One final question on that. I mean would -- as a group, would you consider allocating more capital towards Exhibitions? Or are you happy to pursue that organically?
Erik Engstrom: Across the business, our primary focus is on organic development, organic development and deployment of higher value-add tools. That's what we do in all our divisions, and that's what we will do in Exhibitions. That's what we will continue to do. That can be supported by small additional tuck-in adjacent acquisitions when we're the natural owner and we can see that we can help that small business grow faster, or that it can support an existing organic growth strategy, but I do not believe it's going to be a material part of our growth strategy.
Operator: [Operator Instructions] Your next question comes from Steve Liechti with Deutsche Bank.
Steven Craig Liechti: Just three, if I can. So first of all, can you break out on the submission growth of 20% OA and other? I don't know whether you can put OA and hybrid together or whatever, just to get a feel for OA submissions relative to others. That's the first question. Second question, just in terms of like-for-like growth in Events in the second half, given the first half strength, is it fair to assume a sort of very, very strong performance there, momentum continues in the second half? Any kind of feel for what we should be thinking there? And then thirdly, you talked about when you're signing up new clients and bringing on people for contracts and renewals in Lexis, Legal. Are you managing -- well, can you give us any feel at all for ability to charge extra for when you switch someone from a Lexis+ platform to a Lexis AI+ (sic) [ Lexis+ AI ] platform offering?
Erik Engstrom: Well, I'm going to ask Nick to cover the second, but let me take the first one here. On the submission growth, we have seen very strong submission growth, an increase in that rate over the last 6 to 12 months across the board, across the entire journal portfolio, both for pay-to-publish, open access and pay-to-read, if you want to call them that, hybrid or traditional journals. Because we have submissions that come to the subscription of hybrid journals, where then the person submitted can select later which payment model they want to pursue, it is not as black and white a description as you might think. But we are continuing to see very strong submission growth across the portfolio. There's no difference between the two in terms of the trend line. But as we have seen over the last several years, our growth rate in the pure stand-alone pay-to-publish, open access or gold open access journals, if you want to call them that, that has been higher than the overall for several years and continues to be a bit higher than the overall number. So -- but it's over 20% overall and that's across the board. On Exhibitions, Nick?
Nicholas Luff: So obviously, as Erik was saying, we believe we have a higher growth profile business than we had historically. And you can see that in our outlook, and clearly, the second half won't have the benefit of the first half, that is comparing to slightly disruptive period in the early part of 2023. But nonetheless, we are looking for strong growth in that business through the year.
Erik Engstrom: On the last question here about the spend uplift when people switch. When people were switching from the old Lexis Advance platform, as it used to be called, to Lexis+, we saw an increase in spend because they were moving to an integrated legal analytics platform, which enable them to buy analytical tools and broader content sets that were then easier to use, so they could use more of them, and therefore, they wanted to own more of them, they use them more and they spend more with us. There was a meaningful spend uplift when you switch from Lexis Advance to Lexis+. We continue to see a meaningful spend uplift when people switch from Lexis+ to Lexis+ AI. And it's slightly different because this is here a platform functionality set that's offered as sort of a premium tier to the existing Lexis+ offering, reflecting that it has a higher value-add functionality that we've seen with our customers, being confirmed with our customers, across the usage base and across the different functionality sets. But the actual spend uplift from a customer that switches actually depends quite a bit on which content sets and which tools the customers have got to before the upgrade and which they're adding or switching to after the upgrade. So there is quite a bit between different customers, customer types and different types of subscriptions, but it's another meaningful increase in the total spend that we're seeing so far from our customers. So it's another step up in spend from those who are converting.
Operator: Thank you. This concludes our question-and-answer session. I would now like to turn the conference back over to Erik for any closing remarks.
Erik Engstrom: I just want to say thank you all for joining us on our call today, and I look forward to talking to you again soon.